Operator: Good day, and thank you for standing by. Welcome to the Borr Drilling Limited Q4 2024 Results Presentation Webcast and Conference Call. At this time, all participants are in listen-only mode. After the speakers' presentation, there will be a question and answer session. You will then hear an automated message advising your hand is raised. For any follow-up questions, please rejoin the queue. If you wish to ask a question via the webcast, please use the Q&A box available on the webcast link at any time during the conference. Please be advised that today's conference is being recorded. I would now like to turn the conference over to your first speaker, Mr. Patrick Schorn, CEO. Please go ahead.
Patrick Schorn: Good morning, and thank you for participating in the Borr Drilling Limited fourth quarter earnings call. I'm Patrick Schorn, and with me here today in Dubai are Bruno Morand, our Chief Commercial Officer, and Magnus Vaaler, our Chief Financial Officer. Next slide, please. First, covering the required disclaimers, I would like to remind all participants that some of the statements will be forward-looking. These matters involve risks and uncertainties that could cause actual results to differ materially from those projected in these statements, I therefore refer you to our latest public filings. This quarter's results were as expected. Operating revenue increased by $21.5 million over Q3, driven primarily by higher day rates for the Net and Prospector One. The termination of the Arabia Two contract in Saudi had a $5 million net positive effect due to the accelerated amortization of the mobilization fee. As a result, adjusted EBITDA for the quarter was $136.7 million. Our core operation performed strongly with a technical utilization rate of 98.9% and an economic utilization rate of 97.1%. Despite the various headwinds experienced during the year, we were still able to deliver the full year adjusted EBITDA within the original guidance range of $500 to $550 million, which was set back in Q3 2023. In the second half of 2024, softening demand and declining day rates signaled potential headwinds for the jackup market heading into 2025. A weaker market was observed with rig suspensions in Saudi and Mexico. However, this was partially offset by incremental demand in West Africa and Southeast Asia. We anticipate that the market will continue to face uncertainties in 2025. However, recent increases in contracting and tendering levels provide some early signs of improving conditions towards the second half of the year as per S&P Petrodata. Despite near-term uncertainties, we remain confident in the strong fundamentals of the global jackup market. In November 2024, we successfully completed a new build program with the delivery of our final rig VAR, marking the end of our growth capital expenditures as we move into 2025. Additionally, with fewer special periodic surveys scheduled compared to last year, we anticipate a positive impact on cash flow. As a result, our budgeted capital expenditures for 2025 are set to be below $50 million for the year. Currently, we have approximately 6,700 contracted rig days in 2025, representing 77% of our total available rig days in the year, at an average day rate of $149,000 compared to $136,000 in 2024. The first quarter of 2025 will be negatively impacted by suspensions of three rigs in Mexico, in addition to idle time on Arabia One and the Vale, ahead of the commencement of their respective contracts. We expect to receive approximately $44 million in mobilization payments upon their contract commencements. In addition, liquidity in the first quarter will be positively impacted by the previously announced Mexican payment arrangement of $125 million. The board has decided to declare a cash distribution of $0.02 per share for the fourth quarter of 2024. In addition, the company has an existing share repurchase authorization which can be used opportunistically. This decision reflects the board's focus on maintaining a strong balance sheet and taking a prudent approach to cash conservation, ensuring the company remains well-positioned to navigate market uncertainties while maintaining a solid financial foundation for future opportunities. I'll pass the call now to Magnus for the fourth quarter financial commentary.
Magnus Vaaler: Thank you, Patrick. Total operating revenues increased by $21.5 million, primarily due to a $22.7 million increase in day rate revenue compared to the third quarter. The increase in day rate revenue includes a $5.1 million net increase related to the Arabia Two, comprised of an $8.5 million increase in deferred mobilization revenue, offset by a $3.54 million decrease in direct rep, both as a result of the termination of its contract with Aramco. Rig operating and maintenance expenses were in line with the previous quarter. However, it's worth mentioning that the total cost per quarter includes a $2.3 million acceleration on mobile amortization and more or mob and compact prep cost related to Arabia Two. Depreciation increased by $3.9 million and led to total operating expenses increasing by $3.8 million compared to the third quarter. Other movements below the operating income line worth mentioning are total financial expenses increased by $5.7 million, primarily due to interest on the additional $175 million one issue in November 2024, as well as the $150 million on tap in August 2024. Both were registered to finance the delivery of our two last new builds. The income tax expense decreased by $5.9 million from Q3 and is mainly due to a one-off release of evaluation allowance during Q4. Net income for the fourth quarter was $26.3 million, an increase of $16.6 million, resulting in earnings per share of $0.11. Adjusted EBITDA for the fourth quarter was $136.7 million, an increase of $21.2 million or 18% compared to the third quarter. Our free cash position at the end of Q4 was $61.6 million. In addition, we had $150 million undrawn under our RCF facility, resulting in total available liquidity of $211.6 million. Cash decreased by $124.1 million in comparison to the prior quarter due to the following: Net cash used in operating activities was $14.88 million, which includes $93.4 million or cash interest paid and $15.5 million of income taxes paid. Net cash used in investing activities was $189.9 million, which includes the delivery installment for the last new build, the VAR, $159.9 million. In addition, we spent $11.2 million on activation costs for new build rigs and $18.7 million on other maintenance CapEx, primarily special periodic service and long-term maintenance costs. Net cash from financing activities was $80.6 million, comprised of $175 million from the issuance of additional senior secured notes to finance the VAR. We also paid down $70.8 million of our debt under the regular semiannual amortization of the bonds. Additionally, we used $19.9 million to repurchase the company's shares and $4.7 million for the payment of cash distributions to shareholders. Following quarter-end, we announced an agreement with our major Mexican customer to receive payment settlement for approximately $125 million related to our outstanding receivables in February. So far, we have collected $105 million of these, and the remaining $20 million has been released by Pemex and is expected to be received shortly. We are also due to receive $44 million in mobilization payments upon commencement of the contracts for Arabia One and Valley in the first half of 2025. From a liquidity perspective going forward, as Patrick pointed out, we have concluded our growth CapEx program with our final new build delivered last year. For 2025, we expect regular maintenance CapEx to be below $50 million. With this, I will pass the word over to Bruno.
Bruno Morand: Thank you, Magnus. I'll begin with our recent contracts and rate movements before covering global and regional market trends. In 2024, Borr Drilling Limited secured $795 million in backlog at an average rate of $177,000 per day, which we believe is market-leading. This achievement is particularly notable given the year's challenges and underscores the quality of our assets and operations that enable us to achieve strong contracting performance. Since our last report, we secured new commitments for four of our rigs. NORVA has secured a contract with VAALCO for 320 days commencing in July 2025 and extending through April 2026. We're pleased to see the rig re-contracted by VAALCO following a successful campaign delivered to the customer earlier in 2022. The tour has secured a contract with an undisclosed customer in Southeast Asia and is expected to return to the active fleet by May 2025. While this is a short-term commitment, we are currently in discussions with other customers in the region for further work that could see the rig contracted for a significant portion of the year. The GERD has secured a binding letter of award from an undisclosed customer in West Africa for a 100-day program starting June 2025 following the CNI contract. Given the strong jackup demand in West Africa, we remain optimistic about securing follow-on work for these rigs into 2026. Lastly, Negros has had its last available option exercised by Qatar Energy and is now firmly contracted until April 2026. Regarding fleet movements, the Valley and Arabia One have completed mobilizations and are undergoing acceptance for long-term contracts with Melita and Petrobras. Both rigs are expected to begin operations in March, strengthening our revenue stream and enabling us to collect meaningful mobilization payments as highlighted by Magnus. On a global basis, jackup utilization levels have remained steady since last quarter. Modern rig market utilization stands at 93% and just under 90% if adjusted for the net around those suspensions. While utilization levels remain relatively flat in the last couple of months, it is positive to note that twelve of the rigs previously under contract suspensions with Aramco have now been re-contracted elsewhere, which includes Arabia One. Looking at regional dynamics, in Southeast Asia, demand is expected to rise slightly, with increased activity in Vietnam and Indonesia, offsetting reductions in Malaysia due to the Petronas and Petro dispute. As a resolution to the dispute nears, demand could increase more substantially in 2026. While we anticipate that this market will remain competitive, our fleet capabilities, performance, and well-established local alliances position us well for upcoming contracts, although intermediate idle periods are likely. In the Middle East, we're encouraged to see some of the anticipated multi-rig, multi-year tenders finally coming to the market. KJO, the joint operated zone between Saudi and Kuwait, has launched a four-rig three-year tender for work commencing throughout 2026. This tender combined with other requirements from the same customers as we understand could represent an incremental demand of up to six rigs for long-term contracts. Similarly, we anticipate another multi-rig multi-year tender to be launched by KOC in the coming months. These programs combined have the potential to absorb a significant portion of the regional supply overhang resulting from the Aramco suspensions. In West Africa, strong demand persists, with multiple short and long-term prospects across the region from Angola to Ivory Coast. We believe our fleet is well-positioned to capture the incremental demand, bolstering our backlog for 2025 and 2026. In Mexico, overall activity levels have been impacted by PEMEX temporary suspensions that started in Q4 2024. Including our fleet suspended rig in January, an estimated approximately twelve rigs or 45% of PEMEX's contracted fleet is currently suspended. This reduction in activity has quickly affected the country's production, which has dropped below 1.7 million barrels per day in December, down over 120,000 barrels per day from September. Positively, the government and PEMEX continue to reaffirm commitments to stabilize data and their payments restore production to 1.85 million barrels per day. We remain optimistic that such commitments result in a strong rebound during the second half of 2025 and pave the way for long-term extensions for our rigs in-country. At this time, we anticipate that our fleet rigs suspended in Mexico will gradually return to work during the second quarter. In 2024, the headwinds resulting from Aramco's change in production target and broader market uncertainties resulted in a significant contraction in rig fixtures, particularly in the first half of the year. However, H2 saw a gradual recovery, especially for modern rigs. With the increasing number of open tenders, we see early signs of strengthening contract activity in 2025, primarily for programs commencing in the later part of the year and 2026. While near-term volatility is expected to persist, the long-term fundamentals of the jackup market remain strong. Entering 2025, we have strong contract coverage at leading rates, providing us with a solid foundation. As opportunities expand, we now turn our focus to reducing idle periods in the year and strengthening our backlog visibility into 2026. With that, I'd like to turn the call back over to Patrick.
Patrick Schorn: Thank you, Bruno. So in conclusion, the business we have built is quite resilient. We have dealt with numerous headwinds in 2024 and still delivered the year within the original guidance given to the market. Successful execution in a quite volatile environment. In 2025, we have had good contract coverage to get us through the year. Not only from a coverage perspective, but also considering the quality of the revenue in the backlog. We have some open capacity to deal with and an opportunity to get the contract coverage further up, which will be our focus going forward. The collections in Mexico have given renewed confidence in PEMEX and the Mexican government to put the country's oil and gas industry on a dependable long-term trajectory from a collections perspective. Given the decline in the production volumes, it is clear that drilling activity will have to be restarted. Despite these short-term headwinds, the global jackup market fundamentals remain strong. With 30% of the global fleet over 35 years old, and no new rig orders in the past decade, retirements are expected to tighten supply, creating a favorable market for our premium rigs going forward. With that, we can now move to the Q&A.
Operator: Please kindly ask one question and possibly a follow-up question at the time to give room for the other participants. If you do have any further questions, you can please rejoin the queue. Thank you. We are now going to proceed with our first question. The questions come from the line of Eddie Kim from Barclays. Please ask your question. Your line is open.
Eddie Kim: Hi. Good morning. Just wanted to ask about leading edge day rates. Could you remind us where leading edge day rates for benign market jackups have been kind of over the past six or twelve months or so? And in your prepared remarks, you highlighted some market uncertainty this year. So in light of that, do you expect to see some day rate pressure kind of industry-wide in the jackup market this year before revamping perhaps in 2026? Just your overall thoughts on the day rate trajectory from here.
Bruno Morand: Okay. Very good. Thanks for the question, Eddie. I'll probably not walk you through region by region because I think our views on the net market are part of our commercial strategy. But in line with what we've discussed earlier, we've seen a few markets that suffered a bit more with the competitive pressure, and I think it's fair to say that Asia has been one of those markets. We've seen some of the competitor fixtures coming close or just under $100,000 a day, but leading edge rates staying kind of in a $130,000, $120,000, $130,000 range. Conversely, if you go into markets that suffered less with conventional pressure, such as West Africa, we have seen numbers that still hover and often above the kind of $150,000 range. So we do have a fair spread here. We see now going forward an increasing number of tenders, and I think that alone would help the industry and will help Borr Drilling Limited in reducing a little bit of the competitive pressure. In addition to that, some of the players that have been more aggressively chasing work seem to have achieved now full utilization or very close to full utilization, which should take a little bit of the edge as well from this competitive pressure. Now I think that the dynamic will remain. Some markets that are a bit more benign will be subject to higher competition, and they will keep the rates a bit compressed. Other markets where it takes a lot of history, a lot of competency to kind of penetrate will be a bit more insulated. So I don't see for now a scenario where the rates fall to the bottom. I think we have, you know, we are in a range that activity level troughing should start to stabilize or potentially go up as the months come by.
Eddie Kim: Understood. Understood. That's helpful. And then just my follow-up is on Mexico. A lot of good color there. So you have three rigs with PEMEX that are currently temporarily suspended and two that are contracted through year-end. I believe I heard that the three that are temporarily suspended, you expect those rigs to return to work in the second quarter? Did I hear that correctly? And, I guess, what's your confidence level around that? And if that's the case, I mean, it seems like you're fairly confident that your other two jackups that are currently still contracted will continue to work until the end of their contracts later this year. So just, I guess, if you could confirm that for me, that'd be great.
Patrick Schorn: Yeah. I think that the numbers that you have are correct. We do indeed expect these rigs to go back to work in the second quarter. But quite frankly, we don't know exactly when in the quarter that is going to be. That is at the moment our working assumption. The main reason for that is that we have seen that there is a lot of actions that have taken place in PEMEX. If you think about the last few months, since the new administration is in place, the amount of work that has been done in getting people paid and now an aggressive plan on how activity needs to be restarted. We're still having a very strong commitment on getting production up. I think that based on the production data as we see it, and the strong decline that otherwise you would see in Mexico, I would assume that there is going to be a significant focus in getting rigs back to work, particularly the ones that already are contracted. So that is our working assumption. Obviously, the future here will have to tell, but those are kind of the guidelines that we have and the reasoning for us to be fairly positive about the business environment there.
Eddie Kim: Got it. Great. Thank you very much. I'll turn it back. Thank you.
Operator: We are now going to proceed with our next question. The questions come from the line of Doug Becker from Capital One. Please ask your question.
Doug Becker: Thank you. I was maybe hoping you could expand on the latest in Saudi Arabia. Just looking at some industry data, it did seem like one of the suspended rigs actually did return to work with Aramco, a competitor rig. But just the latest you're seeing in Saudi Arabia.
Bruno Morand: Alright. Thanks. Thanks, Doug. And, yes, indeed, there was some reports earlier about a rig returning to work. I'm not sure if that was a true story. I think that was actually a rig swap done by one of our competitors. The situation in Saudi remains steady state at the moment. Where we see quite a bit of focus on their end is in relation to the offshore gas work. Aramco has been quite vocal on the company's, on the country's focus on expanding on the gas side. And that's where some of the conversations are taking place at the moment. In addition to that, Doug, I think it's interesting to note that in the last couple of months now, there's been an increased talk about Aramco awarding large EPC contracts for projects like Zulu or Safania that were originally planned to be put on hold. As that progresses, it increases our level of confidence that the pipeline starts to form in Saudi Aramco. Now the other interesting discussion that we see in-country is a renewed interest from Aramco talking to service companies about lump sum turnkey or integrated projects offshore. This has been something that they looked at in the past, and I think they see that as a good way to improve efficiency and their overall bill of country to deliver wells. Those conversations seem to be resuming at the moment. I think it's going to take some time. Combined with the EPC award in the pipeline gives us some hope that as the year progresses, the pipeline from Aramco should start to fill up. At the moment, I think the situation is steady state.
Doug Becker: No. That's encouraging. And then it looks like the Ford did get some incremental work for the second quarter. Just any color you could provide around that? Are there potential extensions related to that, or is this more of a one-off?
Bruno Morand: Yeah. No. And the rig came off contract back end of last year. Obviously, we've been working hard to see it going back to work. Reality is that in Asia, a lot of the programs that we see at the moment, not exclusively, but a lot of the programs we see are short-term in nature. So the challenge that we have is obviously to put the rig back to work and string a sequence of programs that will maintain the rig working. So that's obviously something that we're working the team is working quite hard to deliver. It is a short-term program. See the rig working. We have accepted that commitment on the back of visibility of other programs. So we'll have to work through it. I do believe, as I mentioned in my early remarks, that there is a good chance that we could be contracted for the remainder of the year or a large portion of the year.
Doug Becker: Got it. Thank you.
Operator: We are now going to proceed with our next question. The question is coming from the line of Fredrik Stene from CLARC and Securities. Please ask a question.
Fredrik Stene: Hey, Patrick and team. Hope you are well. So I wanted to circle a bit back to Mexico at least, you know, with the discussions that I'm having with my clients. The situation there, even though you've been able to collect a good chunk of the $125 million already. I think, you know, getting proper confidence for future payment is still, you know, a bit hard and one of the kind of risks that is currently weighing onto the stock. So as a side note, you know, being a bit lower on the dividend while kind of itself is not necessarily what investors want. I think it was what investors wanted in this case, just to make sure that you're prudent with the balance sheets. But on the Mexico situation, have they given any signals on, you know, how future, you know, payment schedules can look at, or should we expect that, you know, from time to time, you have to renegotiate similar kind of receivable deals as has been done now? I guess, some sort of regularity or frequency to these payments would be great in terms of visibility. So anything you can share on that front would be super helpful. Thanks.
Patrick Schorn: Oh, Fred, thank you. And, I mean, I think it is clear that if it were to be clockwork, yes, it would be easier to run our business. You're absolutely right. I think though that given where we have come from, with the business in Mexico, the way it has grown and also the way that we have always been paid. I think we have to give a bit of credit to the management team that is now in place and the government of what they have been able to pull off in what is essentially four months. So I think that tremendous efforts are being made to get suppliers paid in was immediately seen as one of the key priorities which in the past maybe wasn't as prevalent, but looking at the overall picture, I would say it's a market that has a decent rig rate. It is a market where we have ultimately always been paid. We have a strong setup and a very good local partner to work through ultimately for PEMEX. So would I like it to be all more clockwork like? Absolutely. Is that realistic? I don't think so. Now there are a few things that are changing the market in Mexico. I would definitely point towards the increased private investments that we are likely to see going offshore, which therefore means that we are in essence are going to have a different counterparty, a counterparty that is having a different cash flow than, let's call it, PEMEX had in the past. So I'm quite encouraged by that, and I think that the mechanism that is set up for that where the private investor is going to be the direct beneficiary of the commercialization of the oil that they produce and therefore in a position to deal, let's call it differently, with their suppliers, I think is a very positive sign. Is that all going to be in place here next month? No. That will take a bit of time. But I can't say that I see far more positive movements in the Mexican business than I would see negative movements.
Fredrik Stene: That's a good comprehensive answer, Patrick. Thank you. And just as a follow-up on that, and I'm sorry if I missed it, but I had a bit of a choppy line here. Bruno, did you say anything about, you know, your thinking around extending the rigs, the five rigs that are currently with PEMEX and, you know, how it might be like that could eventually look like? And, again, ultimately, I guess, depends on you guys having enough confidence that you'll get paid if you extend. But securing those rigs for longer would be, you know, a meaningful chunk of your 2026 and beyond coverage fixed already.
Bruno Morand: Most definitely, Fred. I mean, Mexico is a key component to our business. It's something that we're looking quite closely. But picking up from where Patrick left, we do see a tremendous amount of effort being put by the government to stabilize the situation in Mexico, and that includes reinforced commitment to maintain production level and as you can clearly see from the current amount or from the current levels or the current data, it is dropping. So we do anticipate that these reduced activity levels are going to have to be reversed and very soon. And not only that, they will have to do some catch-up work to get back to where they were a few months back. So that is kind of where my comment came from in the earlier notes. That we think that that's going to strengthen activity levels as we kind of move to the second half of the year. And it's very likely to create a value for us to extend these rigs further in the future.
Fredrik Stene: Oh, super. Thank you very much. That's all for me. Have a good day.
Patrick Schorn: Thank you.
Operator: We are now going to proceed with our next question. The questions come from the line of Charles Olson from Fearnley Securities. Please ask your question.
Charles Olson: Afternoon, guys. Couple of questions for me. Firstly, Bruno, I think probably for you. What's the dialogue like with your clients at the moment? I mean, what's sort of a call it the pressing points, if you will, in terms of getting things done, or is it just that it takes time?
Bruno Morand: Yeah. Perfect. It's fair to say, you know, we normally work with kind of a leading period of four to six months ahead of contracts. Right? So, obviously, what we see now is obviously a lot of customers or quite a few customers organizing themselves for further work in 2025 and 2026. We have a variety of constructive discussions with customers at the moment. I think it's fair to say that the larger names like the NOCs have a bit more flexibility in their schedules and maybe sometimes a bit more leeway in delaying programs, things of that nature. While we see a variety of IOCs in general, quite committed to certain schedules, quite committed to using the opportunity where there is capacity in the market to drill. Some of these companies, when coming to the market a year ago or so, had limitations on finding access to the rig, then and they seem to be keen on coming to the market. Now what I think is quite interesting is that the customers, particularly the customers with programs that are not multiyear in nature, they obviously understand very clearly the importance of having a high-performing contractor. Right? When you have a smaller campaign, you cannot really afford delays or issues with the program, and quite a few of these customers seem to be very keen to engage with us and discuss and understand how they can benefit from the proven performance of our rigs, and it's very, very beneficial in that sense. But so that's kind of where we are in terms of the discussions. And we do see the pipeline increasing. It's fair to say that it's obviously focused on the second half of the year because, as you said, it takes time for some of these programs to get going, but we do see an increasing number of opportunities now building up in the pipeline. I hope I addressed your question.
Charles Olson: Yeah. Yeah. Thanks. I guess and as a follow-up to that, I mean, I guess there's nothing really much moving in terms of the TMCs on the contracted more about, I mean, if not about really the economics of things. It's more about timing of things. General activity level.
Bruno Morand: Yeah. Obviously, 2024 was the year that we obviously been very focused on increasing our backlog, elevating the quality of backlog, and I think we've achieved a lot. As we go now into 2025, we don't necessarily shift the focus. I think we have an extremely competent commercial group that does a great job maximizing the commercial value of these negotiations and discussions. Certainly, customers will use leverage that they have at the moment to try to claw back some of the tenses in the contract as part of the natural flow as the cycle progresses. But at the moment, our focus is really making sure that we don't leave idle on rigs unnecessarily and we increase our backlog visibility to 2026 for sure.
Charles Olson: Thanks. And lastly, I'm sorry if I missed this, but 2025 guidance?
Patrick Schorn: Yeah. And that is a good point, Charles. And, obviously, I would have been quite keen to give you more visibility on that, but I think that the point is that today, visibility is somewhat limited during, in parts, the rig suspensions in Mexico. Lingering impact of the Saudi suspensions and there is just too wide a range of outcomes currently with many moving pieces. The only thing I can tell you is that as soon as there is more clarity in the market as some of these suspension impacts are resolved. And envisage a visibility then improve. We will update you at that time. But for right now, the best thing we can do is give you an idea of contract coverage and then give you an idea on the EBITDA when it's really when we're in a position to give you some credible data. Otherwise, we'd be just making everybody more confused.
Charles Olson: Fair enough. Thank you, guys.
Patrick Schorn: Thank you.
Operator: We are now going to proceed with our next question. The question comes from the line of Nikhil Bhat from JPMorgan. Please ask a question.
Nikhil Bhat: Hi. Thank you for taking my question. I have two, if you don't mind. For 2025, right now, in your fleet status report, you see that there are three available rigs including your new build. Can you please update us on the sort of current discussions you're having with clients about these rigs and especially, you know, the new build in terms of which sort of region are you looking to contract this out to? And the second question is more about how should we think about your financial policy going forward given that you know, Borr Drilling Limited is expected to generate significant free cash flow this year. Will you be looking to prioritize some debt repayment in the near term?
Bruno Morand: Very good, Nikhil. I'll take the first part of the question. And I'll hand it over to Magnus for your second part. Thinking about the fleet, you're right. We have three rigs currently available, one in Mexico, that recently finished the contract. One in the Middle East that has been suspended by Aramco and subsequently terminated in December. And the new build. At the moment, we do have these rigs operating in a variety of tenders around the globe. As I said earlier, generally speaking, we're looking at a lead time for these contracts that are somewhere between four, six months at the short end. So it's fair to indicate that the likelihood of these rigs returning to work is definitely towards the second half of the year. Right? And regional deployment, where they go to work, I think we're considering opportunities available at the moment. We do see one rig in America. We do see a set of opportunities for the rig in the region. I don't think we're constrained to that. West Africa continues to be a market showing some potential upside, and at some point in time could support the inflow of rigs, and the similar thing goes to the Arabia Two that just finished contract with Aramco. It's warm and ready. So we could be deployed including for some opportunities that we now see in the Middle East coming up in 2025. In relation to the new build, it's fair to say that I think we were quite optimistic during 2024 to have it working in the early part of 2025. Obviously, without now having the Arabia Two as an additional rig available in our toolbox here to deploy near term, that has less of a focus. That rig is in Singapore, who will continue to market a rig but I think at the moment, the immediate priority is to see if we can find homes for the run and the Arabia Two. I mean, they'll turn off the Magnus for the second part of the question.
Magnus Vaaler: Thanks. So I think for this quarter, the board has continued the dividend of two cents, but the focus is very much now given the short-term uncertainties to build a strengthening balance sheet, conserve cash, and then we will see during the year and closer to later in the year, what would be most beneficial for the company whether that is to buy back debt depending on debt levels. Or whether it is to apply our share buyback program or pay out a dividend. I think it's important also to emphasize again that our bonds do already amortize by $135 million per year, so we are already very much focused on the deleveraging of the company as a function of how the bonds are structured. So I think right about now, the board has seen it was prudent to continue to build the balance sheet and focus on preserving the cash to see what's most beneficial going forward.
Nikhil Bhat: Thank you.
Patrick Schorn: Thank you.
Operator: So I think that we have come to our last question if I understood it correctly.
Operator: Yes. That's right. This concludes the question and answer session. So I hand back to you for closing remarks.
Patrick Schorn: No further closing remarks.
Operator: So this concludes today's conference call. Thank you all for participating. You may now disconnect your lines. Thank you.